Operator: Hello, everyone, and welcome to the Corebridge Financial Third Quarter 2023 Earnings Call. My name is Charlie, and I'll be coordinating the call today. [Operator Instructions] I will now hand over to our host, Işıl Müderrisoğlu to begin. Işıl, please go ahead.
Işıl Müderrisoğlu: Good morning, everyone, and welcome to Corebridge Financial's earnings update for the third quarter of 2023. Joining me on the call are Kevin Hogan, President and Chief Executive Officer; and Elias Habayeb, Chief Financial Officer. We will begin with prepared remarks by Kevin and Elias, and then we will take your questions. Today's comments may contain forward-looking statements, which are subject to risks and uncertainties. These statements are not guarantees of future performance or events and are based upon management's current expectations and assumptions. Corebridge's filings with the SEC provide details on important factors that may cause actual results or events to differ materially from those expressed or implied by such forward-looking statements. Except as required by the applicable securities laws, Corebridge is under no obligation to update any forward-looking statements if circumstances or management's estimates or opinions should change. Additionally, today's remarks may refer to non-GAAP financial measures. The reconciliation of such measures to the most comparable GAAP figures is included in our earnings release, financial supplement and earnings presentation, all of which are available on our website at investors.corebridgefinancial.com. With that, I would like to now turn the call over to Kevin and Elias for their prepared remarks. Kevin?
Kevin Hogan: Thank you, Işıl, and hello, everyone. This morning, we present our third quarter 2023 results. We delivered another strong quarter and executed with focus and precision across our strategic and operational priorities. Before reviewing our performance for the last three months, I want to share with you the outstanding progress we have made over the last year. On September 15, 2022, Corebridge had its initial public offering and was listed on the New York Stock Exchange. Since then, our first year as a public company has been a very successful one. Allow me a moment to offer my gratitude to everyone involved. Thank you to our many partners across the industry. Thank you to our customers and clients. And, of course, thank you to our employees. I’m so very proud of our people for their dedication to our company and customers and for their commitment, focus, and professionalism. And lastly, much appreciation to our parent company AIG. It has been an extraordinary 12 months. We are experiencing one of the best markets for life insurers in recent memory, with interest rates at levels not seen in well over a decade, supporting our ability to manufacture products that are very attractive to our customers. We are making the most of these favorable conditions, notably delivering healthy organic growth in our spread-based products, and we have a constructive outlook for all of our businesses. Our ability to capitalize on this moment speaks to a broader theme about Corebridge. We are, at our core, a fundamentally nimble company. Our strong balance sheet, our broad and well-designed product suite, and our longstanding distribution relationships allow us to execute swiftly and position us to perform across a variety of market environments, ultimately benefiting both customers and shareholders. The advantages of our nimble approach are clear in our results. Premiums and deposits have grown by 28% this year, and base spread income has grown by 34% over the same period. The earnings power of our core insurance businesses is improving, aided by tailwinds from interest rates and credit spreads. Another hallmark for Corebridge during our first year has been our focused execution. This, combined with the strength of our business, have produced some exceptional accomplishments and continue to drive shareholder value. One important outcome of our focused execution has been our robust return of capital to shareholders. We have returned $1.4 billion to Corebridge shareholders since the IPO through a combination of dividends and share repurchases. This includes over $1.1 billion of dividends and $246 million of share repurchases. And yesterday, we declared our sixth consecutive quarterly dividend of $0.23 per share. In the third quarter, we achieved another significant milestone in our capital management program. We began open market buybacks, taking advantage of market conditions, and as of October 31, we have repurchased approximately $102 million of Corebridge stock. In another important accomplishment for our company, we continue to streamline our business portfolio through the sale of our international operations. This strategic initiative will allow us to focus on life and retirement products and solutions in the United States, the world's largest market, as well as unlock significant value for shareholders. Earlier this week, we announced that we closed the sale to AXA of Laya Healthcare, the second largest private health insurance provider in Ireland. We also declared a special dividend in the amount of approximately $730 million to be paid in November as we look to distribute proceeds from this sale. And we recently announced the sale of our UK life insurance business to Aviva for £460 million, which is expected to close in the first half of 2024, subject to regulatory approvals. This transaction is highly accretive and will have a negligible impact on future earnings. As noted yesterday on AIG's earnings call, we expect proceeds from this transaction largely will be used for share repurchases subject to market conditions. Together, the sale of these two businesses unlocks over $1.2 billion of value, enabling Corebridge to deliver additional significant return of capital to shareholders. Moving on to other areas of accomplishments over the past year. We have achieved or contracted on 81% of our exit run rate savings goal of $400 million from Corebridge Forward, our modernization program that is delivering both expense reduction and increased efficiency. We remain confident this program will be completed on time. We also continue to achieve consistent progress with Corebridge’s operational separation from AIG, having exited 69% of the transition services agreements that were put in place at the time of our IPO. We now expect our cost to achieve will come in at the higher end of our range of $350 million to $450 million. And to date, we have incurred $366 million of the cost to complete our separation. Another area of achievement over the last 12 months has been the expansion of our strategic investment partnerships. These investment partnerships benefit Corebridge as well as our customers. By leveraging our relationship with Blackstone, we have increased our access to unique and attractive assets, enhancing the competitiveness of our products and our long-term growth profile. Since day one, Blackstone has been investing in assets with very attractive risk-adjusted returns, generating an average yield of 6.6% in an average credit quality of single A+. This investment activity has supported growth across all four of our business segments. With respect to BlackRock, we have fully integrated them in our day-to-day portfolio management, and we continue to make strides with our migration to their Aladdin platform, which will further modernize our infrastructure and provide us with expanded analytics and accounting capabilities. In total, with all of these accomplishments since the IPO, it has been a very successful first year for Corebridge. What's more is that our focused execution, combined with our stable high-quality business mix are contributing to steady improvements in our key financial metrics. As an example, our run rate return on average equity for the first nine months of 2023 was 12%, an improvement of 190 basis points since our IPO. We remain on a firm trajectory to achieve a 12% to 14% ROAE in 2024, one of the key financial targets we laid out when we launched Corebridge. Pivoting to the third quarter, we delivered another strong financial performance over the last three months extending the positive momentum that we have been building since the IPO. Elias will provide more detail during his remarks, but I will briefly touch on four important highlights. First, we have been able to grow our non-GAAP operating earnings per share by 28% and our adjusted return on average equity by 230 basis points, both on a year-over-year basis. This strong performance reflects the scale and depth of our spread-based business and our ability to operate across product lines to pursue profitable organic growth where the risk-adjusted returns are the greatest. Second, our earnings this quarter benefited from a slight net favorable impact arising from our annual assumption review. We had no significant reserve adjustments, an important detail that validates our sound governance and reserving framework as well as demonstrates the ongoing stability of our balance sheet. Third, our diversified businesses grew aggregate core sources of income by 11% year-over-year, benefiting from the cumulative effect of strong organic growth and improving base spread income. And fourth, we delivered $9.1 billion of premiums and deposits this quarter, reflecting strong customer demand for our spread-based products and the ongoing expansion of our business. Although we did not execute any significant pension risk transfer transactions during the quarter, the pipeline remains robust. Our consistent organic growth is supported by the strength of our leading distribution platform as well as our diverse suite of products that are attractive to customers and deliver strong return profiles. I began my remarks with a brief reflection on our performance since our initial public offering, and this is where I would like to end. I am proud of all that we have accomplished over the last year and I'm confident Corebridge will continue to generate shareholder value through focused execution, a strong balance sheet in our diverse and attractive businesses. I will now turn the call over to Elias to walk you through our third quarter results in more detail.
Elias Habayeb: Thank you, Kevin. As you just heard, Corebridge delivered another quarter of strong financial performance. Our profitability continues to improve and we remain on track to achieve our target ROE of 12% to 14% in 2024, driven by our capital return growth in our core sources of income and expense efficiencies. We continue to successfully manage our capital liquidity, balancing organic growth and shareholder return, while maintaining a healthy balance sheet. We reported third quarter adjusted pre-tax operating income of $813 million, or earnings per share of $1.05, an increase of 28% from the prior year quarter on a per share basis. Our operating EPS included a $0.03 impact from our positive actuarial assumption update, offset by a $0.12 impact from alternative investment returns below our long-term expectations. Now starting with net investment income. Net investment income for our insurance companies on an APTOI basis improved 28% year-over-year and is comprised of two components: base portfolio income and variable investment income. Our base portfolio income grew 22% over the prior year quarter to $2.4 billion. Additionally, the base yield increased 62 basis points to 4.7%. This improvement was driven by our ability to reinvest the entire new money yields, resets on floating rate assets, and an increase of total invested asset by approximately $11 billion. Importantly, our base yield growth has more than outweighed any increases in policyholder crediting rates. We expect base yields will continue to grow, albeit at the slower pace as we discussed during our second quarter's earnings call. The sequential rate of improvement was 10 basis points due to lower net inflows into the general account, which I will discuss during our segment results in combination with stability and short-term interest rates. While the short end of the curve did not materially change this quarter, we saw a substantial increase in medium and long-term rates, which will have a positive impact on our business. During the quarter, we remain focused on directing new investments towards higher credit quality assets with new money yields at very attractive levels. On average, this quarter's new money yields were approximately 6.6%, or 150 basis points above the assets that's matured or were sold in our general account. This is the fifth consecutive quarter where our new money yields have exceeded 6%. Year-to-date, first, interest yield exceeded our base yield by over 200 basis points. Our general account investment portfolio is resilient and positioned to perform well under various market conditions. The portfolio is well diversified, actively managed and remains high -quality with an average credit rating of single A flat. Furthermore, the portfolio continues to experience net positive ratings migrations without upgrades outpacing downgrades. Given the recent focus on commercial real estate, the credit metrics in our commercial mortgage loan portfolio are holding up well and remain strong. Our team has deep expertise in commercial real estate, and we have a history of actively managing the portfolio across different cycles. With respect to our $900 million of 2023 maturities in U.S. traditional office, I’m pleased to report that we have successfully resolved all material maturities through extension or repayment. Now our team is working to address our 2024 maturities, of which traditional U.S. office comprises only about $350 million. We regularly stress and assess the portfolio, ensuring we maintain a robust loan loss allowance to mitigate potential credit losses. As a long-term investor with a strong balance sheet and resilient investment portfolio, we continue to seek select opportunities for value creation within the commercial real estate sector. Our exposure is manageable and we remain of the belief that dislocation in this market will play out over time. Moving to variable investment income. Our alternative investments, which represent only 3% of our total invested assets, delivered $18 million of income in the quarter. Traditional private equity gains were partially offset by real estate mark-to-market losses. Real estate equity comprises approximately 25% of our alternative investment portfolio. Given equity market and interest rate performance, we expect alternative investment returns to be below our long-term expectations in the fourth quarter. Shifting to GOE. Operating expenses for our insurance businesses and parent company were approximately $418 million, better by $10 million – 10% on a year-to-date basis or 6% sequentially. This was driven by expense efficiencies from Corebridge Forward earning into our results, partially offset by incremental costs related to the establishment of our standalone public company capabilities. Looking to the fourth quarter, we expect some seasonality in expenses. Now I'd like to take a moment to walk through our annual assumption update process as we are reporting this for the first time under LDTI. Once a year, principally in the third quarter, we review and update our actuarial assumptions for all lines of business. Our disciplined and consistent review covers economic, policyholder behavior, and mortality assumptions, which are based on our emerging experience, industry data, and other key factors. This year, Corebridge reported a nominal $22 million net positive impact to adjusted pre-tax operating income, mostly related to our Life Insurance segment. As Kevin stated, we had no significant reserve adjustments. Within our Life Insurance segment, the update included adjustments to our earned rate assumptions resulting from a higher interest rate environment as well as adjustments to policyholder and mortality assumptions for certain blocks of business. Looking ahead, we expect individual retirement DAC amortization run rate will increase by $11 million per quarter due to the higher interest rate environment as reflected in our third quarter results. Turning to our balance sheet. Our third quarter Life Fleet RBC ratio remains above target, which we estimate to be in the range of 410% to 420%. Our subsidiaries distributed $527 million during the quarter, bringing year-to-date distributions to $1.5 billion, evidencing the strong cash flow generation from our insurance businesses. As a result, we ended the quarter with $1.7 billion of holding company liquidity, exceeding our next 12-month needs and demonstrating our financial flexibility for returning capital to shareholders. We also issued $500 million of senior debt in September using the proceeds to partially repay our $1.5 billion delay-draw term loan facility. Now pivoting to our business segments, which continued their strong performance during the third quarter. Individual retirement reported adjusted pre-tax operating income of $576 million, up 54% year-over-year, primarily driven by higher base spread income, resulting from strong general account product growth and base spread expansion. Base net investment spread rose 62 basis points from the prior year quarter and 6 basis points sequentially. The strong value proposition of our spread-based products continues to drive robust demand for our fixed index and fixed annuities with our fixed index annuity business achieving three consecutive quarters of sales in excess of $2 billion. We had another quarter of positive general accounts net flows even with an increase in the fixed annuity surrender rate. Our third quarter surrender rate was elevated due to rising long-term interest rates, as well as the processing of an operational backlog resulting from our first quarter record sales. Our surrender rate peaked early in the quarter, but steadily trended lower and continued into October. At the same time, we saw an increase in our monthly sales of fixed annuities with September volumes approaching record levels. This is facilitated by our planned operational capacity expansion that has come online and is able to support sales volumes even exceeding that of our first quarter. Group retirement reported adjusted pre-tax operating income of $192 million, up 1% year-over-year. This includes lower base spread income reflecting a non-recurring gain in the third quarter of 2022. Excluding this item, base net investment spread rose 6 basis points from the prior year quarter while it fell 3 basis points sequentially. This decline was primarily due to higher policyholder crediting rates attributed to our group mutual fund product, which more than offset the increase in base yield. While we saw elevated surrender rates in the third quarter, this was mainly driven by one large group plan exit, which was predominantly invested in our group mutual fund product, thus having limited impact to earnings. Excluding the impact of large plan departures, our surrender rate has declined from the 11% at the beginning of the year to roughly 10% now. Consistent with industry experience, many of our plan participants have been entering retirement and therefore transitioning from accumulating assets to withdrawing funds for their retirement. As a result, net outflows are typically driven by plan participants ages 59.5 or older and tend to have a higher guaranteed minimum interest rate. Concurrently, net inflows are dominated by our younger age cohorts with lower guaranteed minimum interest rates as well as out of plan fixed and fixed index annuity sales and advisory and brokerage deposits. We expect the combination of those two trends will improve the economic return profile over time. Life insurance reported adjusted pre-tax operating income of $136 million, up 10% year-over-year, mainly driven by net investment income and expense efficiencies. Mortality experience, inclusive of reserve adjustments, remains consistent with our year-to-date experience and favorable to expectations. With respect to our sale of Laya, we expect this business to contribute approximately $30 million per year to Corebridge’s pre-tax operating income. Results from this business are only included in our results through October 31. Institutional markets reported adjusted pre-tax operating income of $75 million, down $8 million year-over-year, primarily driven by less favorable mortality experience in our corporate markets business. Our reserves have grown $7 billion, or 23% year-over-year, driven by expansion of our pension risk transfer in GIC businesses. We issued a company record level of $1.9 billion of GICs in the third quarter as part of our strategy to become a more regular issuer of GICs. And lastly, our corporate and other segments reported an adjusted pre-tax operating loss of $166 million, primarily the result of our standalone capital structure and new parent company expenses since the IPO. Wrapping up, we continue to have the confidence and the strength of our balance sheet and the power of our franchise. Our liquidity and capital positions remain strong. We maintain a stable, diversified, and attractive liability portfolio that's optimized for risk-adjusted returns. We have minimal legacy liability risk, and then our investment portfolio is high-quality and well diversified. In addition, we maintain a very disciplined risk management framework focused on both sides of the balance sheet. Starting from this position of strength, we remain committed to returning attractive levels of capital beyond regular quarterly dividends and have the financial flexibility to do so. This concludes my remarks. So I'll now turn it back to Kevin.
Kevin Hogan: Thank you, Elias. And operator, we're now prepared for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from John Barnidge of Piper Sandler. John, your line is open. Please go ahead.
John Barnidge: Good morning. Thank you for the opportunity. You talked about one large group plan departure. Can you talk about visibility near-term and into 2024 on that? It feels like this is similar commentary seen elsewhere. Is there just more activity now than the last few normal years? Thank you.
Kevin Hogan: Yes. Thanks, John. So the reality is that during the pandemic, I think, with the kind of restricted access and some of the kind of intense focus on operations, that's true, we did see a slowdown in remarketing of group plans. And so after the pandemic, the level of group plan marketing has kind of returned to what we would have expected before the pandemic. And so there are some episodic activities in the large accounts. We did have a particularly large accounts surrender in the third quarter, but I think what's important to point out is that particular plan, by far the majority of the assets, over 90% of the assets were actually in the group mutual fund platform. So whilst it shows up in the flows and in the assets the impact on earnings is extremely modest. And so we do – we monitor where the large account losses and wins are coming from. Sometimes they're associated with consolidations, M&A activities, sometimes regular remarketing. But what's important is if we look at the underlying numbers, taking out the large plan sort of wins or losses, what we're seeing is that the surrender rate is actually coming down from close to 11% earlier in the year to now down closer to 10%. And we need to unpack those flows a little bit. We have an aging portfolio, and for those customers that are 59.5 years or older, right, they’re in the utilization stage. And this is where the primary outflows are coming from in our portfolio or in those older ages. And those are also associated with the higher guaranteed minimum interest rate products because those customers have been around for some time. And what we are seeing is actually inflows, positive flows in the younger ages at lower guaranteed minimum interest rates, and then also investing in the advisory and brokerage platforms, which have become more popular in the last 10 years. And so we believe that for the in-plan business, the economic profile of the portfolio is improving. And then on top of that, we're seeing very robust sales in the out of plan annuities, particularly fixed annuities and we just launched an index annuities. For many of the same reasons we're seeing those products be very popular in the individual retirement side and we're seeing positive flows in the advisory and brokerage platform outside of the plan and those are not recorded in net flows. So we're very comfortable with where we are strategically in the retirement services business. We think that the economic profile of the portfolio is improving and not every dollar of net flows is equal. It's important not to be distracted by net flows.
John Barnidge: Thank you for that. My follow-up, you began open market repurchases in September. Can you talk about the activity in October? And is that a reasonable run rate? Thanks for the answers.
Kevin Hogan: Yes. Elias, please.
Elias Habayeb: Hey John, it's Elias. Hope all is well. So John, listen, as you've seen, we generate the capacity to continue to buy shares. We started in the third quarter doing open market purchases, but given the average traded volumes we have, there's so much we could do in the open market. And so we have more capacity to buy shares beyond the open market. So to answer your question is we want to be a regular purchaser in the open market. But we're going to see what the best options are and how we purchase shares back and that's what we will pursue.
John Barnidge: Thank you. Appreciate the answers.
Operator: Our next question comes from Elyse Greenspan of Wells Fargo. Elyse, your line is open. Please go ahead.
Elyse Greenspan: Hi, thanks. Good morning. My first question, I was hoping to get some of your initial thoughts on the impact of the new DOL rule and how you guys see that potentially impacting Corebridge?
Kevin Hogan: Thanks, Elyse. So look, one thing I'll say is we live in a very complex world, complex regulatory environment and part of our responsibility is to be able to master the complexity of that environment. And this DOL ruling is just the most recent ruling that we're in the process of interpreting and understanding. What I would say is that the words maybe different, but the concepts, many of the concepts in this ruling are similar to the fiduciary rule of 2016 and even some DOL activity earlier in the decade. And as a reminder, both our company as well as the industry actually implemented those regulations until they were overturned by the courts. And so this is territory that is reasonably familiar. It looks like that this ruling is really trying to expand ERISA-type obligations to all retirement-related advice or recommendations, et cetera. And I'll remind you that our company kind of grew up in the registered world, whether it's on the individual retirement side where we primarily work through registered reps of broker dealers or banks or in the retirement services side where our originations are through valid financial advisors, which is a duly registered RIA broker dealer. That is the primary source of business that we have. We are familiar and our distribution channels are familiar with the advisory framework that I think is being reflected in the intention of this DOL ruling. So a very high percentage, probably 90%-ish plus of our individual retirement sales and 100% of the VFA sales are already subject to a high level standard of duty of care. And although it's a big act, there's a lot of filings around it. It's in early stages. There will be a public comment period, et cetera. We're not anticipating, it's going to have a significant impact on our business.
Elyse Greenspan: Thanks. And then my second question, you mentioned, right, that you have $1.7 billion at the Holdco, which exceeds next 12 months' needs. Is that what you guys are targeting, especially I guess when we get through some of the separation costs and the costs associated with your savings program?
Elias Habayeb: Hey, Elyse, it's Elias. Our target for the parent liquidity is to cover the next 12-month needs, and right now it's less than $1.7 billion, and that should come down as we complete the one-time spend on the initiatives we've talked about which were relating to Corebridge Forward and the separation from AIG. The first one is $300 million, the second one is $350 million to $450 million, and we'd expect that will be mostly done by the end of this year associated with it. And so we will kind of – what our need is will be coming down, but the position we are in right now is we are in excess of what our need is and that kind of demonstrates the financial flexibility and the strength of our insurance company cash flows. Our insurance companies have delivered $1.5 billion this year, which is in line with what they've distributed in the prior years. And that should be sufficient to get us to the 60% to 65% payout ratio, which we would expect to achieve in 2024. And we feel comfortable we're on track getting there.
Elyse Greenspan: Thank you.
Kevin Hogan: Thank you.
Operator: Our next question comes from Alex Scott of Goldman Sachs. Alex, your line is open. Please proceed.
Alex Scott: Hi, good morning. First one I have for you is just on potential further strategic action on the business. Certainly, I appreciate the two transactions you already did were quite attractive and interesting. So I hate to ask you so quickly about what next, but I'm going to do it anyway. So, what is the opportunity out there? What do you see in the market around private equity interests, some of the blocks of business you have around fixed, fixed and next annuities? Do you think there's an opportunity there?
Kevin Hogan: Yes. Thanks, Alex. So look, I mean we know our responsibility is to regularly review opportunities to increase shareholder value and to optimize the portfolio. I think we've demonstrated that. We did prioritize the disposition of the international businesses because one, it allows us to focus on the huge U.S. market; but also two, we saw an opportunity to generate significant value. And we're still working through the UK close. That'll take a little bit longer. It's a more complex environment. When it comes down to other types of transactions, look, we have demonstrated the willingness and the ability to execute on transactions. You just have to go back and look at our creation of what became Fortitude Re. And so we're familiar with the market, the opportunities, and we continue to evaluate the portfolio. Now, as a result of the creation of Fortitude Re, we have a high-quality in-force. But as you pointed out, we are current on what transaction terms are available in the market right now. We're conscious of where our share price is. And we are continuing to evaluate options whether in terms of enhancing the in-force or the efficiency of new business. So we don't have anything to update right now as and when we have something to update and then we'll provide more information at that time.
Alex Scott: Very helpful. Second one I have for you is just going back to the comments made on DAC amortization in life insurance. I just wanted to check, I mean, is that higher run rate on DAC amortization, does that fall to the bottom line? And is that reflected in sort of the run rate that we're looking at from this quarter already or do we need to think about reducing by that amount looking forward?
Elias Habayeb: Hey, Alex, it's Elias. The $11 million DAC – the increase in the DAC run rates of $11 million, that's where individual retirement is not in life, and that's already in the third quarter numbers we published.
Alex Scott: Got it. Okay. Thank you for the clarification.
Elias Habayeb: Yes. And it's coming across all three products, fixed, index and variable. So the impact is $11 million on a quarterly basis, and it's kicked in as of July 1.
Alex Scott: Thank you.
Kevin Hogan: Thank you.
Operator: Our next question comes from Tom Gallagher of Evercore. Tom, your line is open. Please go ahead.
Thomas Gallagher: Good morning. Elias, the comment you made about the processing of backlog of surrenders that created higher fixed annuity outflows this quarter, and I think you also mentioned you're starting to see some acceleration of fixed annuity sales. Would you – taking that together, would you expect 4Q and beyond to get a bit better from a net flow perspective for overall individual retirement and fixed annuities in particular?
Kevin Hogan: Yes. Hey, Tom, it’s Kevin. I think I'm going to fill this one. I'll start with the surrenders. Look, the third quarter surrenders were nominally high, but I think it's really important to unpack the behavior throughout the quarter because the trend did change. And essentially what happened is that the surrender levels did peak early in the quarter, which I think reflected some of the processing of the backlog that was there. And then we saw the opportunity, based on what sales were in the first half, we saw the opportunity and how attractive these products were for our customers. So we brought on some additional operational capacity which came online through the third quarter. And we did see the surrender rates successively come down from sort of the beginning of the quarter through the end. And we've seen that trend continuing through October. But at the same time as this new operational capacity came online, we started to see the pace of the fixed annuity sales increase incrementally through the quarter to the point where coming into October, the new sales levels are something comparable to what we saw in the very strong first quarter. And so we had overall net positive flows across IR in the third quarter despite that sort of trend. And if you look at the back half of the quarter as opposed to the front half of the quarter, and if that continues through the rest of the year, we would see some very attractive numbers coming out of fixed annuities. Index annuities continue to be very strong and we would expect growth in the overall general account. And I would also add that the margins continue to be extremely attractive for this business.
Thomas Gallagher: Interesting. Thank you. And then, Kevin, just on your comment in response to Alex's question on potential risk transfer, the point you made on efficiency of new business, should we take that to – I mean you're considering flow reinsurance as one potential option?
Kevin Hogan: Well, that’s one potential option. There are a lot of ways to enhance efficiency of new business and we're in the process of reviewing those. Our responsibility is to evaluate all options to understand what transaction terms are and to make a decision that is most attractive for shareholder return opportunities as well as the success of the business.
Thomas Gallagher: Got it. And if I could just sneak in one more. Elias, you mentioned you're done with the – you've resolved office maturities for 2023. Can you just remind us, what was the total size of the maturities for 2023? And do you have a split of how much got paid off versus extended? And then when I heard you say only $350 million of office maturities in 2024, which sounds pretty low, that implies to me you didn't do any one-year extensions on the 2023 maturity wall.
Elias Habayeb: So yes. So Tom, so let me take. So we had about $900 million of maturities in traditional office. All the material loans are done. So from the ones we’re done, that was a total of nine loans, five got paid off, four got extended. The four that extended tend to be bigger dollar amounts. And you're right, we did not have one-year extensions. Basically, there were longer-term extensions and what was involved were sometimes partial paydowns as well as credit enhancements for our positions in there. When you look at 2024 in traditional office, we have five loans that come down to about $350 million in principle.
Thomas Gallagher: Okay. Thank you.
Operator: Thank you. Our next question comes from Jimmy Bhullar of JPMorgan. Jimmy, your line is open. Please go ahead.
Jimmy Bhullar: Thanks. Good morning. So, Kevin, on your comments on flows, if I look at the index annuity business, that's showing nice growth both in terms of sales and flows. But the traditional fixed business seems weaker than what your commentary would suggest. So if you look at sales, they have grown, 1Q was very good, 2Q was actually weaker than last year, and 3Q is almost flat. And then if you look at flows, whether by each quarter or in totality, this year is running worse than last year. So I'm just trying to see what sort of – I would have expected with rates going up, fixed annuity sales would be – traditional fixed would be doing a lot better and many of your peers are doing better than what your numbers would suggest as well. So just trying to see why that business isn't picking up more, and why the draws are actually up even more this year than sales are up, even if you look at them on a year-to-date basis.
Kevin Hogan: Yes. What I would say, Jimmy, is that, I just described the trend throughout the third quarter. Obviously, it was very strong earlier in the year that created some kind of processing issues, I think, for the whole industry, because for the whole industry, the second quarter was lower than the first quarter. And through the third quarter, we actually have seen strength in the fixed annuity business and we do expect that that will continue, assuming conditions stay roughly where they are through the fourth quarter. As we've talked about before, we look at the economic value of a surrender versus the economic value of new business and to the extent that, it's not the right thing necessarily to increase crediting rates and accept the surrenders. We look at each of those decisions kind of separately. And we also look at the entire general account and the growth in the general accounts and the growth and spreads in the general accounts. So we have the benefit of having multiple products. We feel very comfortable with where the fixed annuity business is right now. The spreads are very attractive and we'll continue to respond to where the market opportunities are.
Jimmy Bhullar: And on spread, your spread both an individual and group retirement are at very good levels already. With rates going up even more, should we assume that spread will improve further or – because of competition or whatever, they’ll – I'm assuming they'll be stable at the very least, but are you assuming further improvement in spreads or is competition taking over to where more of the increase is going to fall to the crediting rate?
Elias Habayeb: Hey, Jimmy, it's Elias. So on base spread income, we expect our income to continue to grow from here, given what we're seeing in our outlook. With respect to base spreads, base spreads are already at the very attractive level. There's still room for them to continue to expand more from where we're here, but we're expecting at some stage you're going to taper off. And as you've seen, the trajectory of improvement has slowed down, but it's still at very attractive levels.
Jimmy Bhullar: Okay. And is competition in the fixed and index annuity markets with rates going up, would you characterize that as being rational or are you seeing a pickup in competition?
Kevin Hogan: For the distribution channels that we work with, the way I would define is the rationality of competition is what we're seeing as margins on new business and we continue to see very attractive margins on the new business.
Jimmy Bhullar: Thank you.
Kevin Hogan: Just as a reminder folks, one question and one follow-up please.
Operator: Thank you. Our next question comes from Ryan Krueger of KBW. Ryan, your line is open. Please go ahead.
Ryan Krueger: Hey, thanks. Good morning. Many of your competitors in the annuity space as well as an increasing amount in the institutional market space utilize Bermuda for increased capital efficiency. Is that something that you would consider at Corebridge on a go-forward basis?
Kevin Hogan: So we're very familiar with the Bermuda environment. I point to the creation of Fortitude Re, which we engaged in a number of years ago. That was a transaction really specifically designed to access the best benefit of the environment there and it's long been an element of our operating strategy as part of AIG. So we do have a Bermuda entity. We are familiar with it. And one of the options that we're evaluating amongst many others in terms of where are the next opportunities to create value or optimize the portfolio would include potential offshore solutions.
Ryan Krueger: Great. And then I think, Elias, you mentioned some seasonality in the fourth quarter expenses. Can you give any color on the magnitude there?
Elias Habayeb: So there's a couple of drivers that impact our expenses fourth quarter. We do have some seasonality around some of our IT-related spend. That's maybe $10 million, $15 million. And then obviously year-end, there's always the bonus accrual true-ups depending where we end the year.
Ryan Krueger: Thank you.
Kevin Hogan: Thank you.
Operator: Our next question comes from Mike Ward of Citi. Mike, your line is open. Please go ahead.
Michael Ward: Thanks, guys. Good morning. Maybe just expanding on the questions around third-party risk transfer. I think flow reinsurance historically has been focused more on the fixed annuity side for new business at least, rather than variable. So just wondering if there's like a specific product line that you might be considering more than others.
Kevin Hogan: We're always looking for opportunities to optimize the whole portfolio. We're not going to talk about any particular product plan.
Michael Ward: Okay. And then on institutional retirement, pension deal activity was kind of muted. So just curious if you could sort of comment on that slowdown from a sponsor's perspective and how they're feeling about the market.
Kevin Hogan: Yes. Thanks, Mike. Look, these are very large complex transactions and it is unpredictable when a particular program is going to land. You think of them as miniature M&A transactions because a great deal of work has to be done on the sponsor's side of assembling the asset portfolio and understanding the asset portfolio and then working with a consultant understanding the liability portfolio. And I wouldn't read anything into the relatively modest activity in the third quarter because the pipeline for transactions is – continues to grow and is very strong. And our focus, I'll remind you, is on full plan terminations. Historically, we have not really participated in the commodity, or retiree, longevity type deals. And full plan terminations, because of the external market conditions that exist, many plans are fully funded and are anxious to move to a full plan termination. So we're seeing more full plan terminations and we're seeing larger full plan terminations. And that's true both in the U.S. and in the UK. And we're in a extremely strong position in both markets and the pipeline is very strong. And so I think we will continue to see robust opportunities in the institutional markets business.
Michael Ward: Okay. Thanks, guys.
Kevin Hogan: Thank you.
Operator: Thank you. Our next question comes from Suneet Kamath of Jefferies. Suneet, your line is open. Please go ahead.
Suneet Kamath: Thanks. Good morning. I guess to start with Elias, the $2 billion of annual distributions that you are sort of guiding to out of the insurance subsidiary. Should we expect that to increase as some of these one-time costs are behind you?
Elias Habayeb: Hey, Suneet, it’s Elias. So the one-time costs we're paying out of the parents, we're not paying out of the insurance companies. But right now, the insurance companies run rate is about $2 billion, what we expect over time as the profitability of the insurance companies improves, there will be more distributable earnings to maintain our 60% to 65% payout ratio over time.
Suneet Kamath: Okay, got it. And then I guess for Kevin sort of interested in your comment about it being the best environment for the life space in some time. Can you just talk about how that impacts your decisions on capital allocation maybe across businesses or in total?
Kevin Hogan: Sure. So, I think that we have demonstrated over the last 10 years, frankly, that our business model can be successful whether it is a high-rate environment or a lower-rate environment. And right now in the higher-rate environment, we're certainly deploying capital into the spread businesses, whereas maybe some of those businesses may not have been as attractive five years or so ago, based on the environment at that time. And I think one of the great things about our business model is we can deploy capital where the risk-adjusted returns are the highest. And if we're not able to make the hurdles, then we won't necessarily deploy the capital into the new business. And so our strategy is to have a very strong balance sheet, a strong liquidity position, the appropriate leverage profile and allocate an appropriate amount of capital to new business, which is very attractive at this time, and still have the financial flexibility to return additional capital to shareholders. So right now, the environment is very attractive. We expect it will continue to. And what I feel really good about is we've been able to grow the business, the new business significantly in the last three quarters and continue to grow the balance sheet, strengthen the balance sheet and enhance our liquidity position and improve our leverage position.
Suneet Kamath: Okay. Thanks.
Operator: Thank you. This is all the time we have questions for today. So I'll hand back over to Kevin Hogan, CEO, for any closing remarks.
Kevin Hogan: Okay, thanks. Look, it's been a year since our initial public offering and our results both for this quarter and since the IPO, I think, demonstrate the competitive strengths of our businesses as well as the resilience of our franchise. Our financial position is strong and our opportunities are robust. We're well positioned to continue creating value for and returning capital to our shareholders, building on the outstanding progress we've already achieved in our first year as a public company. Thank you for joining us. Have a good day.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.